Operator: Good day, ladies and gentlemen. And welcome to the Third Quarter 2013 Ctrip.com International, Ltd. Earnings Call. My name is Crystal and I will be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to your host Ms. Jade Wei, Investor Relations Director. Please proceed, ma'am.
Jade Wei: Thank you, Crystal. Thank you for attending Ctrip's third quarter 2013 earnings conference call. Joining me on the call today, we have Mr. James Liang, Chairman of the Board and Chief Executive Officer; Mr. Min Fan, Vice Chairman of the Board and President; Ms. Jane Sun, Chief Operating Officer; and Ms. Jenny Wu, Chief Financial Officer. We may during this call discuss our future outlook and performance, which are forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our results may be materially different from the views expressed today. A number of potential risks and uncertainties are outlined in Ctrip's public filings with the Securities and Exchange Commission. Ctrip does not undertake any obligation to update any forward-looking statements except as required under applicable law. James, Min, Jane, and Jenny will share our strategy and business updates, operating highlights, and financial performance for the third quarter 2013, as well as outlook for the fourth quarter. We will also have a Q&A session towards the end of this call. With that, I am turning to James for our business update. James, please.
James Liang: Thanks, Jade. Thanks everyone for joining us today. We are pleased to report great results delivered in the third quarter of 2013. Net revenues grew by 31% year-on-year, primarily driven by strong volume growth. Hotel room nights grew at 40% year-on-year and air ticketing volume grew by 31% year-on-year. The past quarter demonstrated that Ctrip’s strategy of gaining market share is working effectively and the team has been consistently delivering strong results. Mobile Internet is redefining the travel industry. The on the go notion for both mobile and travel makes the two a natural fit. Our team works diligently to provide travelers the best user experience and continuously updates the Ctrip Travel App with new versions. The latest version of 5.1 was released in October and provides travelers with a simple easy to use interface, where they can book hotels, air ticketing, car rentals, local activity tickets, and dynamic packages. Booking via mobile is as easy and seamless as across all other featured platforms and even faster. The Ctrip Travel App also helps travelers to research, plan, and share their trips through the newly enhanced functions like destination guides, travel journals, and review boards. Ctrip Travel’s smart itinerary could enable users to integrate their bookings into the user-friendly agenda, synchronize with their calendars, and share it with friends. The Ctrip Travel App is the one-stop shop putting all our services at the finger tips of the travelers. The Ctrip Travel app ranks as the number one iPhone app in the travel sector of the Apple store in China and has been selected as Editor’s Picks for the multiple times in a row. By the end of the third quarter, the number of accumulated downloads for Ctrip app exceeded 70 million, a significant increase from 50 million downloads last quarter, and the 15 million downloads last year. In the third quarter 2013, over 60% of Ctrip’s transactions were booked through online and the mobile channels compared about 50% a year ago. For hotel bookings, PC-based Internet contributed over 40% of total transaction and the mobile Internet contributed about 30%. For air ticket booking, PC-based Internet contributed about 40% of the total transactions and mobile Internet contributed over 15%. Mobile channels are particularly convenient for travelers who want booking trips at the last minute. The peak daily transaction value reached over RMB100 million in October. The Ctrip Travel App together with the mobile website except the smart phones and tablet contributed more than 40% of the daily hotel booking in peak days. We are seeing mobile channels to overtake PC Internet and call centers soon to become the most important booking platform of Ctrip. We will continue to invest in technology and mobile, and extend our leadership in the OTA and MTA markets in China. We have put great effort in the past quarters into elevating our technology platform. Technology not only facilitates our business growth. It also powers our business innovation and expansion. Creating the infrastructure to enable a more efficient open platform was one of our key goals this year. Our systems are being innovated so that internal platforms and external channels can seamlessly connect to our large scale of inventories and backend operations. Going forward, we’ll continue to invest in technology areas. Our key focus is on improving operational efficiency and the customer experience. We are working on multiple tech fronts including automation, service experience, converging effectiveness and Big Data computing to name a few. We are confident that we can continue to [lift] [ph] operational efficiency and build out service barriers through innovative technology. The Ctrip brand is leading the business travel segment and we are decisively building our ubiquity among leisure travelers. We recently launched the first mobile multimedia campaign featuring the famous movie star [Den Chao] [ph], and audience reactions particularly from the younger groups have delighted us and we look forward to our continued branding endeavors. We will continue to enhance our diversified sales and marketing channels. Our monthly UV in the third quarter increased over 50% year-on-year according to alexa.com. Ctrip ranks again as the number one travel website in China in terms of traffic in the past month. October 2013 marks the Ctrip’s 14th anniversary and then we were recognized once again as one of the top 100 Best Employers in China by the industrial and Academic Authority. I’d like to thank our employees for their commitment and diligence to grow the great future of the company together. With that, I will turn to Min for the industry highlights and the investment opportunities.
Min Fan: Thanks, James. Thanks everyone. This is Min. China's traveling industry is in great growth opportunity and [inaudible] structure change driven by technology and competitions. Ctrip is well positioned in this transition period. We have a solid business foundation, leading technology and the strong teams to grow our increasing business and to [inaudible] new business initiatives. Meanwhile, we are very open and proactive in working with new players to add value to customers and to help the industry grow in our [inaudible] trend. In October, we successfully raised USD800 million through convertible bonds. One of the major purpose of this financing is to prepare for the potential strategic investment. Ctrip has a strong financial strength to utilize the opportunities ahead. With that, I will turn to Jane for the operation highlights.
Jane Sun: Thanks, Min. Thanks to everyone. I'm pleased to share the updates of Ctrip's main businesses with you. Ctrip has further expanded its hotel coverage. By the end of the third quarter, our domestic hotel supply network covered approximately 70,000 domestic hotels compared to around 46,000 one year ago. Our international hotel network has been further extended to over 240,000 hotels. We achieved a strong hotel volume growth of 40% year-on-year in the third quarter of 2013, driven by both business and the leisure travel demand. Our international hotel volume growth was over 300% year-over-year in the third quarter. Our international hotel team has done a great job increasing our hotel coverage, improving cost - inventory quality, enriching hotel content and upgrading user’s experience. We have seen milestones in the hotel booking for popular travel destinations. The air ticketing business grew strongly in the third quarter and reached 31% volume growth year-over year. We have made great efforts working closely with airlines and [planners][ph] to offer the best prices in the market. In the third quarter, the international air ticket volume grew over 80% year-over-year, achieving a record number of transactions. Ctrip has now worked with over 400 airlines. The technology platform, [supply] [ph] networks and backend serving system has such higher barrier of entry for the local and the global players. We will strive to invest in this area and enhance our ability to meet the enormous and complex needs of Chinese travelers traveling anywhere in the world. Our packaged tour business once again reported impressive results in the third quarter of 2013. The revenue from Mainland China grew about 50% year-over-year. And our team managed to maintain a strong momentum in both dynamic package and group tours. China is witnessing a significant increase in personal income in other countries that have been lifting the Visa restrictions to welcome Chinese tourists. For example, the UK has simplified the Visa application process for Chinese citizens. These efforts create a positive effect for outbound and leisure travel. And we have the increasing strong demand across all our products. Our packaged tour business offers products to more than 1000 destinations and cover group tour, dynamic packages, day tour and attraction events serving customers ranging from those traveling overseas for the first time to seasoned travelers. The volume for local attraction tickets soared in the third quarter. Although the base is small, we are very encouraged by this growth. During the October peak holiday season, the ticket volume has grown 700% from the same period last year. Our corporate travel business grew steadily in Q3. We currently provide corporate travel solutions for over 250,000 people across 3000 companies, including many of China’s largest firms and global multinationals. Our corporate travel mobile app is the first of its kind in China and provides unmatched convenience and efficiency to corporate travelers. The app has extensive booking capability that match the personal preference of travelers with their company’s travel policies. It also features smart itinerary and travel update functions to ensure users are informed immediately of any changes through their journey. The app also offers 24/7 call center support. In acknowledge of the legacy value proposal - proposition and innovation functions that Ctrip provides to our corporate customers we have been named China’s Best Travel Management Company for the third consecutive years by Travel Weekly China. With that, I will turn to Jenny for financial highlights.
Jenny Wu: Thank you, Jane. Thanks to everyone. For the third quarter Ctrip’s total revenue of RMB1.6 billion increased 32% year on year and 24% Q-on-q. Hotel reservation revenues were RMD611 million increased 34% year-on-year primarily driven by an increase of 40%in volume, and partially offset by an increase –- decrease commission per room night. Hotel reservation revenue has increased 20% Q-on-q, largely driven by volume growth. Ticketing services revenues were RMB604 million up 26% year on year primarily that was driven by an increase of 31% in air ticketing volumes and partially offset by the decrease of commission per ticket. Ticketing service revenues increased 16% q-on-q largely driven by air ticketing volume growth. Packaged tour revenues were RMB 320 million, up 43% year-on-year and 71% q-on-q due to the increase of leisure travel volume. Corporate travel revenues were RMB72 million up 33% year on year and 9% q-on-q, mainly driven by an increase of corporate travel demand from business activities. Net revenues were RMB1.5 billion up 31% year-on-year and 24% q-on-q. Gross margin was 75%, down one percentage point year-on-year and stayed flattish q-on-q. Product development expenses of RMB335 million up 38% year-on-year and 8% q-on-q, mainly due to an increase in product development personnel related expenses. Excluding share-based compensation charges, product development expenses accounted for 20% of net revenues, versus 18% a year ago and 22% a quarter ago. Sales and marketing expense of RMB355 million are up 17% year-on-year and 31% q-on-q primarily due to an increase in sales and marketing related activities. Excluding share-based compensation charges sales and marketing expenses accounted for 22% of the net revenues versus 25% a year ago and 21% a quarter ago. G&A expenses of RMB172 million are up 14% year-on-year, 9% q-on-q primarily due to an increase in administrative related expenses. Excluding share-based compensation charges G&A expenses accounted for 7% of the net revenues versus 8% a quarter ago and a year ago. Income from operations of RMB300 million, up 58% year-on-year and 53% q-on-q. Excluding share-based compensation charges, income from operations of RMB408 million, are up 37% year-on-year and 33% q-on-q. Operating margin was 19%, up [6] [ph] percentage points year-on-year and q-on-q. Excluding share-based compensation charges, operating margin was 27%, up [2] [ph] percentage points year-on-year and q-on-q. The effective tax rate was 22% versus 24% a year ago and 27% a quarter ago, primarily due to the decrease in amount of non-tax deductible share-based compensation charges as a percentage to our income as a whole. Net income attributable to Ctrip’s shareholders was RMB373 million, up 92% year-on-year and 77% Q-on-Q. Excluding share-based compensation charges, net income attributed to Ctrip's shareholders were RMB482 million, up 59% year-on-year and 50% q-on-Q. Diluted earnings per ADS were RMB2.44 or US$0.40 . Excluding shared-based compensation charges diluted earnings per ADS were US$0.60 (sic) [US$0.51]. As of September of this year, the balance of cash-and-cash equivalents, restricted cash and short-term investment was RMB6.7 billion, or US$1.1 billion. The guidance for the next quarter. For the fourth quarter 2013, the company expects to continue the net revenue growth year-on-year at a rate of approximately 20% to 25%, and likely at the high end. This forecast reflects Ctrip’s current and preliminary view, which is subject to change. Lastly, on the CD offering. In October 2013, Ctrip completed the offering of US$800 million principal amount of CD due 2018. The notes bear an annual interest of 1.25%. The notes will be convertible into Ctrip's ADSs at the option of the holders based on initial conversion price of approximately US$78.39 per ADS and that represents approximately 42.5% conversion premium over the closing trading price of the company’s ADSs on October 10, which was US$55.01 per ADS. With that, operator, please open the line for questions. Thank you very much.
Operator: (Operator Instructions). Our first question is going to come from the line of Jiong Shao with Macquarie. Please proceed.
Jiong Shao – Macquarie: Good morning. Thank you very much for taking my questions and big congratulations on a very strong results and guidance. If it's okay, I want to kick off with a couple of questions for the group. Firstly, given the recent very successful IPO of Sina, I understand Sina is a partner of yours, but also compete on certain aspect. I was hoping you can share with us sort of how you work with - partner with Sina and what part of the aspect in the business competes with you and what are your competitive advantages when you go fight against Sina the platform player in the industry? That’s my first question. My second question is, it’s great to see you're seeing tremendous growth in the outbound overseas business. I understand you work with partners such as booking.com, you leverage their hotel networks. I was wondering could you talk about how you go build up your own hotel networks. What's the status of that? Is there any plan or target in the next couple of years in building that up? Thank you very much.
James Liang: Okay, I'll answer the first question. Sina is offering a different model, so it's particularly for hotels. It’s actually relying on mostly partners to provide their hotel inventory and we are one of those suppliers, so the hotel side is more of a partnership. The other products I think particularly on air ticket we’re more of competitor. I think our advantage is that we offer more consistent level of service because we have the other technology platform that’s in a service platform that over the years had streamlined the operations in terms of service quality. So that’s I think the most important difference between our air tickets and their air tickets. In other product, I think this is somewhere in between and sometimes we are more a partner sometimes we are more competitor. I think overall we are investing, continue to invest heavily in the technology and service, so we will try to differentiate it as more in the future from the Sina, particularly in terms of service quality.
Jane Sun: I will address the second question regarding the outbound travelers. As you have already seen, Ctrip’s customers have very high income level, so when they go travel outbound has become a very strong growth engine for our business. So in the foreseeable future, our goal is to strengthen our local [presence][ph], so for the popular travel destination we will have our team to work with the tour operators locally and hotels and airline to provide stronger products for the increasing volume.
Jiong Shao – Macquarie: Okay, great. Thank you very much for the helpful comments
Jane Sun: Thanks, Jiong.
Operator: Our next question comes from the line of Dick Wei with Credit Suisse. Please proceed, sir.
Dick Wei – Credit Suisse: Hi. Thank you for taking for taking my questions and congrats on Jenny and Cindy on the promotions. Just questions about outlook for the fourth quarter, I think our earlier comment is on October 1st holiday air tickets up 700% in terms of volume. I wonder if management can give some outlook guidance in terms of maybe by hotel and air in terms of the volume and the pricing mix looking to the fourth quarter. Thank you.
Jenny Wu: Hi, Dick. Thank you. For the fourth quarter for the hotel, our volume growth may grow about 30% to 35%. The listing price for the hotel may decline by 0% to 5%. Our commission rate will stay flattish and the [e-coupon] [ph] will [inaudible] the growth by 5%. So the total revenue will grow by 20% to 25%. And for the air ticketing, the volume growth will be about 20% to 25%. The listing price and the commission rate will stay flattish. And the [e-coupon] will have their limited impact. So the revenue were actually also around 20% to 25% growth. For the package tours, we are looking at the revenue to grow about 20% to 30%. Of this [inaudible] China will have higher growth. For the corporate travel, its growth rate is largely involved with air ticketing business, so again it's about 20% to 25%. If you add up everything together, our top line growth may be around 20% to 25%, and our team will continue to try our best to deliver the best with that and so we are looking at like close to the high end. Thank you.
Jane Sun: Dick, this is Jane, just to clarify one comment we made during the October holiday, the tickets volume we talked about which grow 700% is not the air ticket. It's the local attraction ticket such as museum ticket, train ticket such as small destination attraction, so that’s a very small business we're just launching and we have seen positive effect, but it's different from the air ticketing business.
Dick Wei – Credit Suisse: Great. Liang, would you be able to talk a bit about in terms of the mobile bookings or the updated user metrics to show the frequency of usage or ASP on the mobile apps versus on the PC? Also I guess last [inaudible] is what you mentioned about any more color in terms of the destination ticket or more of the other like local services booked through the apps that would be helpful. Thank you.
James Liang: Yes. On average, we have about 30% of the hotel bookings through the mobile smartphones and air ticketing is 15%. In other products actually for example attraction ticket actually the percentage is actually a little bit higher because that’s actually more convenient to book while you are on the go. So it depends on the type of transactions. Actually, the more destinations oriented that tend to have higher ratio of mobile booking, so actually most of products that have higher ratio mobile booking and the air ticket probably being the lowest one.
Dick Wei – Credit Suisse: Okay, thank you.
Jane Sun: Thanks, Dick.
Operator: Our next question comes from the line of Eddie Leung with Merrill Lynch. Please proceed.
Eddie Leung – Bank of America-Merrill Lynch: Good morning. Thank you for taking my questions. I have two questions. The first one is about your open platform strategy. Could you elaborate more on that front? For example, what types of partners you will have and any impact to your P&L? For example, would that mean a lower margin basis, higher margin basis, et cetera? The second is about your marketing campaigns. Should we expect any seasonality or fluctuations in your marketing expenses in the upcoming couple of quarters, after a higher increase in the third quarter? Thank you.
James Liang: Yeah. Our open platform basically we work with many more suppliers, not just our own direct purchased hotels or air tickets or attraction tickets, et cetera. But also the hotel there is the other types of distributors in China or overseas. So we will be working with many more suppliers and we will have many product offerings, more price varieties, so that’s actually directly linked on how fast to gain market share. Some other [hotel] [ph] products have relatively lower margin, but I think the fact or the overall impact so far is not very significant because the portion of those hotels in overall volume mix is not very big yet. In terms of sales marketing, yeah, actually we will very aggressively to invest in our brand in the coming future, because we think we have the best product, especially on the mobile front. So we’ll definitely want to take this advantage - opportunity to invest heavily in sales marketing in the coming future, especially to promote our mobile brand. Now we're still working on the plan how much to invest and the timing of that, so I cannot really elaborate more on this. But the overall direction is that we'll definitely invest more on the Ctrip brand especially on mobile front.
Eddie Leung – Bank of America-Merrill Lynch: Got that. Thank you, James.
Jane Sun: Thanks, Eddie.
Operator: Our next question comes from the line of Alicia Yap with Barclays. Please proceed.
Alicia Yap – Barclays Capital: Hi, good morning. Thanks for taking my questions. Congratulations to Jenny and Cindy for your promotions. My question is when I look at your business and also your service, what other areas that you think you would still like to improve or maybe offer more choices to user? With your reason converts issuing, how are you going to use your cash? What other areas that you believe could be complementary to your current business? Would you look at more domestic or overseas opportunities? Thank you.
Jane Sun: Thanks, Alicia. We recently issued a CD at $800 million very successfully and that empowers us to explore more opportunities both domestically as well as overseas. I think we always are very prudent in terms of investments. Our first goal is to look for the opportunities that we can incubate or extend our business lines, so we talked about the [Baby Tiger] [ph] program such as local tours attraction tickets. Internally, I think we grow a small team hopefully that will grow bigger in the future, so that takes some investment. If in a market there were smaller team that we can invest in, we're always very open for that. So that’s the first type of investment we are looking for to extend our business line. Second type of investment we're interested in probably is to speed our time to market. We made a successful investment in [Weingang] [ph] a few years ago and that has been very successful in terms of extending Ctrip’s local presence in Hong Kong. So similar opportunity if there is any which will help us to speed up the time to market we’ll be interested in looking to it. Thirdly is long-term investment that will strengthen our competitiveness in the long run. I think we are also very interested in looking to these opportunities. But normally when we try to look at the target, normally they have to fulfill very high and strict criteria, such as high-growth potential in a higher growth area that is complementary to our existing business. So we will exercise the same prudence going forward.
Alicia Yap – Barclays Capital: Hi, Jane. Can I follow up on your second point on the [Ling on] [ph] on the local presence? So are we looking for, for example, let’s say if we were to extend that to other country, would that be more into the ASEAN the Asia side, or into the Europe or may be in the US?
Jane Sun: I think, first of all, because our customer is from China, so domestic is always, always our first priority. The second priority obviously is Greater China, which we made some investments in Hong Kong, Taiwan and the Great China area. Third priority probably is Greater Asia area, just because from the distance perspective Chinese people travel abroad to Asian countries much easily and also our services can be offered to the local people more easily. Maybe in the next 5 to 10 years when our presence grows much stronger then we can consider very methodically to move abroad. But every step we take we have to be very prudent and make sure our investment will generate great yields for our investors.
Alicia Yap – Barclays Capital: Great, thank you.
Jane Sun: Thanks.
Operator: Our next question comes from the line of Philip Wan with Morgan Stanley. Please proceed.
Philip Wan – Morgan Stanley: Hi. Thank you for taking my questions, and congrats on the very strong quarter as well as Jenny and Cindy's promotion. I have three questions. Number one, could you give us some color about the margin for your mobile booking as compared to other channels? Also how much of the margin improvement recently was driven by the increase in mobile transaction? And then I have a follow up. Thank you.
James Liang: Yes. So far mobile margins are similar to the other channels, our online channels particularly. Some – in case of mobile currently we are investing heavily in sales and marketing, but on the other hand the online transactions you really need to pay [inaudible] quite an expensive sales and marketing cost. So they are roughly at the same level and also there's a cash rebate program, currently cash rebate program at a similar level. But it's difficult to predict in the future because while the sales and marketing expenses probably will remain pretty consistent with the current level it's hard to predict the coupon rebates level on the mobile and we always pursue very aggressive at least, be as good as our competitor in terms of promotion fee, cash rebates on any platform that not just online but also mobile. And it looks like some of our competitors are offering more that cash rebates on the mobile front. I think if they do that, we'll definitely match that. So it's hard to predict actually the margin trend on the mobile. It really depends on the level of competitions in terms of the cash rebates offering from our competitors.
Jenny Wu: For better margin improvement in 3Q, is largely due to two factors. First one is a better than expected revenue growth. As you know, our business is embedded with certain scalability. The secondly, we see the consistent improvement in our operational excellence especially as a result of our investment in IT and our mobile online [preparation] [ph] platform.
Philip Wan – Morgan Stanley: Great. Thank you for the color. And then my second question is regarding the partnership between Baidu and Sina. Could you remind us how much of your online traffic is currently coming from Baidu? What's your view on the potential impact from that exclusive agreement between Baidu and Sina? Thank you.
Jane Sun: We work with all the major portals, including Baidu and also all the other players. Sina, we started to list some of our products so the impact is limited, but not only these two but also Sina, the other major portals. I think we're very open to work with all the partners that has some [inaudible] and also we strengthen our brand through our own content. So our service channels are very diversified.
Philip Wan – Morgan Stanley: All right, thank you.
Jane Sun: Thanks.
Operator: Our next question comes from the line of Alex Yao with JPMorgan. Please proceed.
Alex Yao – JPMorgan: Hi. Good morning, everyone. First of all, congratulations to Jenny and Cindy's promotion. I have two questions. Number one is, how does the Ctrip differentiate on mobile product versus other competing business models such as a vertical search and e-commerce? What are the incremental unit value you offer on mobile versus your PC product? Secondly, can you talk about your high-level thoughts on the biggest revenue opportunity in China's online travel market in the next two years and how would you position to capture the opportunity? Thank you.
James Liang: Okay, I'll just comment a little bit on the first question. The fundamental difference between mobile and the online travel on the PT in general is that, it's difficult to compare prices to price comparison on the mobile. As we know, some of our competitors particularly [inaudible] has offered unique prices on mobile and we are matching that so we actually offer unique prices, different -- better prices on the mobiles. It's difficult for the price comparison engine to do a search periodically to scrape these prices from the mobile, so actually we cannot do the price comparison for these most -- the best price on the apps, but it is actually price comparison, it's not possible on those mobiles. So that way one advantage is that [inaudible] doesn’t have.
Unidentified Company Representative: And also I think in terms of instant confirmation and fulfillment, because we control our backend operation, so our customers get instant confirmation, of locked inventory and guaranteed allotment of these benefits. If you click on your ticketing booking in seven seconds you can place the order and get the ticket issued. If you do not have the backend fulfillment controlled by yourself, I think the confirmation process will take a little longer. Comparison, like James said the comparison of the pricing would be longer and also the product comprehensiveness Ctrip has offered is the most comprehensive amount than the other players, so these are the advantages of our mobile app has. And in terms of your questions on online travel, I think if you look at our forecast and the past history, GDP growth rate is probably is around 7% to 8%, and travel will be around 10% and online travel particularly [inaudible] was about that rate. So I think we are in the segment that is very fast growing and capitalized upcoming trend for the very affluent travelers both domestically and internationally.
Alex Yao – JPMorgan: I've got very quick follow-up questions on my first question, if I may. Obviously, you guys achieved a very strong progress on the mobile transaction bookings during the quarter. My question is could you share with us what percentage of these mobile transactions actually involve the call center, meaning the users on mobile app? They click the number to make a call to your call center and finalize the transaction. What percentage of the mobile transaction is facilitated also by the call centers? Thank you.
Unidentified Company Representative: The vast majority of the transactions are purely mobile. But Ctrip does have an advantage compared to the other players that we have all three platforms available for our customers. There is small percentage of the customer if they have difficulty navigating through the mobile. Or if they still want to talk to a personnel/staff in call center we have one click through for them to get connected with our call center. But I think more and more customers have seen the benefits of the efficiency working through on the mobile, so that majority of the mobile is on a cell phone without getting involved in the call center.
Alex Yao – JPMorgan: Thank you very much.
Unidentified Company Representative: Sure.
Operator: Our next question comes from the line of Mike Olson with Piper Jaffray. Please proceed sir.
Mike Olson - Piper Jaffray: Good morning. I may have missed this, but did you provide guidance on what your expectations are for overall margins in Q4 and in 2014?
Jenny Wu: Yes. For Q4, our margin will be likely around 22% to 25%. And we have the [inaudible], and we want to be [inaudible] and also But the market is very dynamic overall and that the competition is intensifying. For 4Q specifically, there’s a [inaudible] if you were to see some decrease. And on top of that, as James mentioned, we are very determined to [inaudible] our brand awareness, so we see that [inhouse] marketing and branding effort and the product promotion campaigns. So if this kind of effort may have the [inaudible] on one for the covered quarter, but it would definitely benefit the Ctrip over the long run. And for the 2014. Now, [inaudible] to give the guidance yet. And you’ll know, for us 2014 was to be a year of investment. In the past two years, we [inaudible] by heavily investing in all key areas. And we are encouraged by the positive momentum and the pay-off from those efforts. And what will I say that [inaudible] to experiencing a great growth opportunity as well as the structural change to [inaudible] technology and competition. Our top priority is still to gain more market share at a faster pace. We will continue to try our best to ensure that our customer can join the best of that [inaudible]. It’s that [inaudible]. We’ll decisively invest in key strategic areas such as technology and the Mobile Internet. Meanwhile, as James also mentioned, we are working on multiple [inaudible] including automation, service experience, converging effectiveness and the Big Data computing to name a few. We will continue to implement technology and innovative matters to improve our operational efficiencies and to conduct tight cost control. And last, seeing the complexity of our business, the dynamic of the market and the competition, and our visibility for the next year, margin is quite low. So, we would like to continue guiding our investors on a quarterly basis while we move into the quarter and have more higher visibility. Thank you.
Unidentified Analyst: All right. Thank you.
Operator: Our next question comes from the line of Fei Fang with Goldman Sachs. Please proceed.
Fei Fang – Goldman Sachs: Hi, good morning. Very strong results; Jenny and Cindy, congratulations. I recall that back in 2012, the fourth quarter as Jenny mentioned was one of the weaker quarter of the year, last year partially due to the political event. I’m just wondering, how do you look at the seasonality in the next two quarters, more from an industry perspective in terms of the industry volume and the rebate program. And also, going to 2014, the volume -- will be -- Ctrip’s volume will be working out a much higher base. So what kind of like a median term growth profile that we should be expecting? That will be very helpful. Thank you.
Jane Sun: So, in the travel industry in China, normally, Q2 and Q3 are the youngest of quarters because as people are moving to spring and summer, travel start to pick up. When you move to Q4 and Q1, we’re going into a winter season and Q1, we have a Chinese New Year. So, travel normally is the weakest in Q1. And the second weakest in Q4. So these are the seasonality. In terms of the campaign, I think our priority again is do whatever we can to gain market share because we still have seen such a fast growing industry, and that there are lots of opportunities. Yes, our market share is very small. So we have methodically putting our investments in the technology and also, in our branding. So, going forward in the foreseeable quarters, our marketing campaign will be intensed. And if any players in the market start to have irrational competition on pricing, we are very well prepared to match that dollar to dollar, percentage to percentage on any of these campaigns. So, hopefully, by strong marketing campaign and also our determination are the price, to offer the best price in the market. We will rapidly gain market share and that’s our priority.
Fei Fang – Goldman Sachs: That’s very helpful, Jane. Thank you very much.
Jane Sun: Thanks.
Operator: Our next question comes from the line of Andy Yeung with Oppenheimer. Oppenheimer, please proceed.
Andy Yeung - Oppenheimer: Hi, thank you for taking my questions and congrats on a very strong result and guidance. I actually have two quick questions about mobile platform. One is that you mentioned the price comparison engine such as [inaudible] we do not work that well on mobile. But do you expect those search engines such as [inaudible] to move more closely to a transaction model? For example, competing more directly with you guys. And two, do you conduct your sales and marketing activity differently on a mobile platform particularly the way how you work with search engines such as Baidu and Sina.
Unidentified Company Representative: Yes, I think they will move more in the direction of directing, sourcing hotels and the other travel products. That will move closer to our [inaudible] model at Ctrip. So they have to compete on the same –- including with Ctrip not having the advantage of having more price diversity. Sorry, what –- can you repeat the question?
Andy Yeung - Oppenheimer: Yes, the same question is like given the fact that the search engine does not work that well on mobile [inaudible] and also potentially, some of these price comparison engine would actually move closer to you in some of your opening models. Would you contact your sales and marketing activity or promotional activity on the mobile phone differently from your online currently –- online platform? Have you worked with those search engines on the mobile side?
Unidentified Company Representative: Okay. We currently, mostly just working with Sina on their website. We haven’t really started to working with them in mobile phones yet. The question is really, they are going to be in a using partners or are they are going to be just directly contracting with the hotels. If they do the latter, then it’s more of a competitor on the mobile phone side and not so much [inaudible].
Jane Sun: In terms of promotion while on mobile, I think a lot of sales and marketing promotions are very directly targeted to promote to mobile. So if you have seen our multimedia ads –- it is promoting on the mobile, that’s more direct campaign rather than full search come to us. And so, that’s the [inaudible] on the mobile is much stronger than online.
Andy Yeung - Oppenheimer: Great. Thanks, Jane.
Operator: Our next question comes from the line of Vivian Hao with Deutsche Bank. Please proceed.
Vivian Hao - Deutsche Bank : Hi, thank you for taking my question. Just like to have a quick check from Alexa data is in [inaudible] about 26% of the traffic coming from Baidu and given that this [inaudible] strengthening the partnership between Sina and Baidu, and also the launch of their new search platform, I mean from Baidu up the [inaudible] platform. It seems like Sina will have stronger control on travel-related traffic and also the search results presentation. I’m just wondering do you expect any adverse impact of this agreement or if there’s any measures that will strengthen – will improve our traffic redirection. This is my first question. I have another follow up after this.
Unidentified Company Representative: Hey, yes, so we will have to rely on more other channels. Well, Baidu, if they are willing to sacrifice trade for their direct advertising from the travel companies like [inaudible] to having more volumes --. So, [inaudible], but we have other choices as well. So we’ll shift some of our revenues from Baidu to other search engines.
Vivian Hao - Deutsche Bank : Okay. My second question is on the P&L line, there’s an equity income in affiliates which has swing from a 5% --$5 million loss last quarter and to a $25 million profit. That’s about 7% of bottom line. Just trying to understand what has exactly that has swing the profitability improvement of the invested entities?
Unidentified Company Representative: You mean the minority interest part?
Vivian Hao - Deutsche Bank : No, equity income in affiliate, the $25 million?
Unidentified Company Representative: Oh, that’s [inaudible]. Yes, that’s the [inaudible] part. And that we will record their earnings on a quarter [inaudible] basis. So, that is pretty much reflect our equity platform [inaudible].
Vivian Hao - Deutsche Bank : Great. Thank you.
Unidentified Company Representative: And let me just add one point for that [inaudible] part. And actually, the current situation that if I was choosing platform, it’s actually an upgraded version in policy to this team, [inaudible]. And so, [inaudible] Ctrip has a very limited cooperation with Baidu before, so, this kind of replacement and the Sina’s control will have limited impact on our traffic. And we’re also working with Sina now, so actually, we -- additional exposure for that type. It is the – just to clarify that.
Vivian Hao - Deutsche Bank : Okay, this is very helpful. Thank you.
Unidentified Company Representative: Thanks.
Operator: Our next question comes from the line of Ming Zhao with 86Research. Please proceed.
Ming Zhao - 86Research : Thank you. I have two questions. The first question is looking at the third quarter hotel business, the volume growth is great, but ASP is down year-over-year even though last year had very intensified competition in the coupons. So, with this ASP down, is it because of a mixed change or more wholesale or anything else? That’s my first question. And second question is for some of the invested entities like the Tujia and Sungguo and [inaudible] et cetera. Can you comment on those companies profitability? Have they –- have the profitabilities improved or have they begun to make money? Thank you.
Unidentified Company Representative: Sure. For the first one, for the hotel, in 3Q the commission for [inaudible] declined by 5% year-on-year. And actually, it has a sweet component. First one is our nominal commission rate which is still very stable. And the second one is the listing price of the hotel. It has declined about by 2 percentage to 3 percentage points as is largely due to the -- our [inaudible] exchange as you’ll know we’re moving more towards the lower-tier cities and the lower-star hotels. So it will kind of benefit our overall ADR. And the third part is e-coupon. Actually, the e-coupon impacted us about 2%. For that one, firstly, the actual dollar amount for this e-coupon, altogether it contributed about–-[inaudible] largely around like 70%, 80% of our hotel revenue which is likely below the level for the same quarter last year. But if there’s -- therefore, this quarter there are some accounting rule change. And just recall in the past, there were a lot of customers to utilize the cash by bringing [inaudible] to withdraw cash and secondly by Ctrip’s products. And third one is [inaudible] mobile phone calling card charge. And therefore, there are two third of revenue, we used to book as well as the counter revenue and one third is in the sales marketing. And then starting this quarter, more and more customers, they start to choose the – you -- you cannot classify what sort of cash or by Ctrip gift cards and by Ctrip products. As a result the majority of e-coupon were being recorded as counter revenue. So due to this accounting treatment change, there is additional like two percentage points of growth noted here, so just to clarify that. And for the newly – the [inaudible] and other new initiatives, for those kind of investments, the [inaudible] is at the earlier stage and we’re very encouraged by the leadership they built in their verticals like -- which are already the absolute best leaders in the vacation rental segment, but the markets do as other states and the company [inaudible] we’ve seen that with -- they started to generate revenues and the revenue is growing and they very healthy and rapid pace. We believe that gradually we will move into the profitable level in next one to two years.
Ming Zhao - 86Research : Thank you.
Operator: Our next call -- our next question comes from the line of Muzhi Li with Citigroup, please proceed.
Muzhi Li: Here’s my question. I would like to ask about the outbound travel. Could the management give some rough idea about what the center of revenues that generates from the booking to overseas in the key categories? Thanks very much.
– Citigroup: Here’s my question. I would like to ask about the outbound travel. Could the management give some rough idea about what the center of revenues that generates from the booking to overseas in the key categories? Thanks very much.
Unidentified Company Representative: Sure, approximately 10% of our revenue are going abroad but outbound cover volume growth the fastest among all business lines.
Muzhi Li: I see, and may I also follow up with the operating -- the operating margin or the growth margin for these outbound travel, assume each probably higher than the inbound travel.
– Citigroup: I see, and may I also follow up with the operating -- the operating margin or the growth margin for these outbound travel, assume each probably higher than the inbound travel.
Unidentified Company Representative: Yes we do not have -- lots of resources are shared, outbound versus inbound such as call center and fulfillment team. So, there is no -- specifically marking for that segment but in terms of ASP, you’re right. Outbound travel packages are more expensive, so intuitively they should generate a higher margin for our business.
Muzhi Li: That’s great, thanks very much and congratulation for the good quarter.
– Citigroup: That’s great, thanks very much and congratulation for the good quarter.
Unidentified Company Representative: Thank you.
Operator: Our next question comes from the line of Fawne Jiang with Brean Capital, please proceed.
Fawne Jiang - Brean Capital: Thank you for taking my question. Just look at it with more color in terms of your investment strategy. I guess earlier you mentioned that a couple of potential, directions or product lines you are considering. It seems like in the past you have been -- I think you have had more like smaller skill acquisition, just even the cash you have right now which is close to 2 billion, just wonder whether you are considering consolidating a major player, a favorite player in the space, in that case, potentially could take out more competitive pressure and also consolidate the market faster, just wonder whether if any consideration in terms of benefit and potential risks or potential moves. What could be the bottleneck that might stop you from making such a consideration?
Unidentified Company Representative: Sure. I think our investment strategy is always very disciplined and prudent. It’s easy to buy a company but it’s not easy to integrate a good company into our main operation. So, the team –the target we’re looking after has always been a very strong player, stand alone, and hopefully by combining two together we have synergy. So, the size, it’s not our -- our first consideration, so we’re very open, big or small, region-wise, domestic versus international. We’re all very open but again it has to have synergy with our business before we make a move. Secondly, with the cash on hand investment is one usage for our business. Secondly, we also want to make sure we’re equipped with sufficient financial bandwidth for our marketing and also for our pricing. So again if there is any irrational sales in the marketing campaign in the market, we will be very protective to match up to these irrational thing to make sure we stay ahead on the pricing and provide the best pricing to our customers.
Fawne Jiang - Brean Capital : Got it, that’s very helpful Jie. Second question, actually regarding their sales and marketing effort, you did mention that you have stepped up the brand advertising, just wonder on the mobile side, whether you have also increased the potential free download accessory as well as any other accessory associated with the mobile penetration.
Unidentified Company Representative: The mobile price is the best among all the platforms. So on the pricing, if you use mobile, we have the best price to offer to our customer. Secondly, all the sales and marketing campaign is to promote Ctrip brand and the Ctrip mobile. So, our slogan (foreign language) meaning with Ctrip’s mobile, you can go at anytime, so that’s our main slogan. So mobile and Ctrip are the two focus for our sales and marketing campaign.
Fawne Jiang - Brean Capital : Got it, thank you very much.
Operator: Our next question comes from the line of Tian Hou with T.H. Capital, please proceed.
Tian Hou – T.H. Capital: Good morning. I have two questions. One question regarding the mobile travel. So, I see you are growing your travel -- you're growing your 15% from mobile devices and I wonder who are those customers. Are they existing customer on PC and then just add another device or new customers, that’s is number one. Number two, what do they on mobile? Do they generate booking or they just -- have to say last minute service [inaudible]. And just so, what do they on mobile? This is the number one question regarding mobile. Number two, regarding the air ticket. We noticed that you have a much more variety of tickets provided on your PC and lots of the ticket price are much more competitive than before; however, we also noticed one issue. Some travelers told us that there was a 20 RMB insurance attached to the low fare of air tickets and it is a mandate. They don’t have other choices, so I wonder why is that? So those are the two questions. Thank you.
Unidentified Company Representative: Sure, on the customer I think on the mobile, we do have existing customers moving from PC or call center to mobile which is very good because once you have mobile with you, the thickness for these customers is enhanced. On top of it, we also attached a younger and new customers to mobile just because young generation tend to spend more time on mobile and our ads is also attracting younger people. So we have seen both existing and then new customers coming to use our mobile. And secondly, what do they do with mobile. I think with mobile, a lot of application is location based. So for example, if you are at a certain location our mobile will remind you of these are the hotels nearby or these are the tour attractions near you, so it’s very location-based. So, the frequency is enhanced and we also see weekend leisure travel volume has been enhanced as well. Certainly on the price -- ticket price, you’re right, we have put lots of efforts on pricing, the best price in the market. And on top of it, we also give a gift card attached to it to promote our application package and hotel along with the air ticket and that’s the advantage of Ctrip has versus the other player because we have such a comprehensive product to offer. So, ticket is -- is one of the first product, normally our customers who are booked. On top of it, we can also attach and promote our newer product for our customers.
Tian Hou – T.H. Capital: Actually my ticket is of air ticket is much more [inaudible] the 20 RMB insurance. And in some customer said, that was the -- they don’t have the choices of not buying that 20 RMB, so I wonder why is that?
Unidentified Company Representative: Oh yes, they have choices. Even with the insurance, the total package price is still lower than the other product. So if they don’t like the insurance, they can buy air ticket towards gift card or they can buy tickets alone . I think that the choice are there, it’s for our customer to choose.
Tian Hou – T.H. Capital: Thanks, you’ve answered my question.
Unidentified Company Representative: Thanks.
Operator: And with no further questions, we’ll turn the call back over to Jade for closing remarks.
Jade Wei: Thanks for everyone joining us for the call today and we look forward to talking to you next quarter. Thank you.
Unidentified Company Representative: Thank you.